Operator: Good morning ladies and gentlemen. Thank you for attending today’s IAA Second Quarter Earnings Conference Call. My name is [indiscernible], and I will be your moderator for today's call. [Operator Instructions] I would now like to pass the conference over to our host, Caitlin Churchill with Investor Relations. Caitlin, please go ahead.
Caitlin Churchill: Good morning, everyone, and thanks for joining us today for IAA's second quarter fiscal 2022 earnings conference call. Speaking today are John Kett, Chief Executive Officer and President; and Susan Healy, our Chief Financial Officer. After John and Susan have made their formal remarks, we will open the call to questions. Before we begin, I would like to remind you that certain comments made during this call regarding our plans, strategies, and goals and our anticipated financial performance constitute forward-looking statements and are made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based on management's current assumptions and expectations and are subject to risks and uncertainties that could cause actual results to differ materially from such statements. Those important factors are referred to in IAA's press release issued today and in the Risk Factors section included in our annual report on Form 10-K filed with the SEC on February 28, 2022 and in our quarterly report on Form 10-Q filed with the SEC on May 10, 2022. The forward-looking statements made today are as of the date of this call, and IAA does not undertake any obligation to update these forward-looking statements. Finally, the speakers will refer to certain adjusted or non-GAAP financial measures on this call. A reconciliation schedule of the non-GAAP financial measures to the most directly comparable GAAP measures is available in IAA's press release issued today. A copy of today's press release may be obtained by visiting the Investor Relations page of the website at www.iaai.com. I will now turn the call over to John. John?
John Kett: Thanks, Caitlin. Good morning everyone and welcome to IAA’s second quarter earnings call. My plan today is to first provide some highlights from our performance in the quarter and then review our continued progress against our strategic initiatives. I will then turn the call over to Susan to discuss our financial results and outlook in greater detail. Let me begin by telling you how pleased I am with our team's focus and serving our customers at the highest level even in a period of economic uncertainty. As we reported this morning, organic revenue grew by approximately 9% in the quarter and as expected adjusted EBITDA declined. Despite some top line headwinds, which I'll discuss in more detail, our U.S. volume grew nearly 5% in the second quarter versus the second quarter of last year, excluding the loss from the top customer that we've talked about in the past. We are encouraged that our overall market share not only remained stable throughout the period, but our efforts to increase share also continue to build positive momentum. That said, we were impacted by several industry headwinds in Q2, including a decline in the percentage of vehicles declared a total loss, driven primarily by high retail or used car prices, as well as lower [non-CAT] [ph] weather related volumes, compared to what we normally experience in the second quarter of the year. Outside of insurance, our dealer, commercial, and consumer facing volume was also soft during the period, driven primarily by the continued low inventory in wholesale markets. Switching to the cost side of our business, like most companies in today's market, we continue to experience inflationary cost pressures, primarily in towing and branch labor.  While these higher costs were anticipated, we are actively working to offset them by further driving operational efficiency and improved service levels throughout the organization. And as we previously mentioned, we have established an operations committee of our Board. The committee is active meeting on a regular basis and providing guidance to us on these initiatives. We continue to invest in automation of manual tests throughout the vehicle lifecycle from vehicle release through towing and titling, streamlining the process to achieve efficiency gains and enhanced service levels. In one example, we recently implemented title automation in our West Coast title center and have seen greater levels of accuracy and speed at a reduced cost. And while tow costs are still elevated, we are encouraged to see rates stabilize. We remain focused on leveraging data analytics to optimize routing and improve truck utilization to offset higher towing rates. Identifying and driving operational efficiencies is a way of life at IAA and will continue to be a focus regardless of the economic environment. Moving now to talk about the macro pricing environment, both retail and wholesale used car prices have remained high, despite some sequential moderation over the last few months. This provides a favorable backdrop for continued strength in RPU. And as noted, total loss frequency was lower during the quarter than in Q1. The industry also continues to feel the impact of the higher costs of fuel, towing and labor. Despite these macro challenges and the potential for a broader economic downturn, I remain bullish on the near and long-term outlook for both IAA and the industry as a whole. While ongoing OEM supply shortages have reduced new vehicle sales, used car values remain near record highs, creating significant demand for the vehicles we sell and their corresponding parts. We continue to see secular long-term growth in repair costs as both parts and labor are impacted by increasing technology complexity. This should bode well for future long-term growth in total loss rates and in turn industry volumes, especially if used car prices continue to moderate. In addition to the positive industry dynamics, it is important to emphasize that throughout our history, IA has performed well throughout a wide variety of economic cycles. While currently we're managing through higher labor and towing costs, our primarily consignment based revenue model helps mitigate their impact. Our business is resilient and our team has the experience and the knowledge to continue to navigate the dynamic macro environment. The continued execution of our strategic initiatives, particularly in the areas of technology and innovation further differentiate us. Every day, our team is focused on improving our digital marketplace through data analytics and enhanced vehicle merchandising. With that in mind, let me update you now on this strategic initiatives on the supply side, starting with the data analytics work that delivers such significant value to our customers. With better data, our selling customers are making improved decisions and optimizing the channels where their assets are sold, resulting in higher net returns for them, while translating into additional benefit to IAA as well.  Unique to the industry, we provide buyers with four ways to bid, proxy, times, live bidding, and buy now. This gives our buyers greater flexibility, while helping us and our sellers understand buyer behavior, resulting in maximizing the value of the assets that we sell in our marketplace. The [IAA Advisor portal] [ph], our industry leading seller analytics platform uses the data that we gather to highlight key opportunities for sellers to increase proceeds and reduce cycle time. In another example, we collaborated with one of our largest providers after we jointly identified an opportunity to improve results. By modifying their reserve setting and auction channel strategy, we unlocked significant improvements in their returns. This example serves to reinforce our continued efforts to collaborate with both existing customers and prospects on additional opportunities and potential pilots. We also continue to successfully drive revenue through enhancements to the seller experience. We further expanded IAA loan payoff, processing nearly $1.2 billion of transaction action value through the portal year to date, up 70% versus the second quarter of last year. This growth is driven by greater adoption by insurance companies and increased penetration of financial institutions. Our lender coverage is now essentially 100% with 80% of all liens written nationally covered by lenders, which with digital direct integrations to loan payoff. Top carriers are using the platform nationally and are realizing 12 to 15 days of savings in addition to the efficiencies of ACH transfer. In fact, with carriers who are directly integrated, we're seeing some assignments submitted to the portal and funded in less than 24 hours. We believe our broader solution set, including unique innovations such as loan payoff, continue to resonate with sellers and provide the winning formula for IAA to deliver long-term customer value. On the demand side of our market, IAA buyers continue to benefit from an improved experience on our indirect merchandising platform through enhanced digital trust created by our custom features, including vehicle score, engine start, and feature tour, all which promote an in-person experience while researching vehicles digitally. Further driving an improved experience IAA Transport, which we launched last year, to assist buyers in sourcing and scheduling the transport of their vehicles has been a remarkable success. Year to date volume of IAA Transport more than doubled from last year and Q2 volume was up nearly 80%. In May, we launched the IAA Transport mobile app empowering buyers to shop for quotes, arrange transport, and track deliveries from anywhere, all within the app. In addition to enhancing our buyers experience through expanded or improved services, we're also continuing to expand our overall network of international buyers, which grew by 5% year-over-year. This growth is driven in part from our focus on improving the overall experience for our customers. Our demand side MPS score continues to improve and we are on target to exceed our goals for 2022. We've now leveraged that framework and improved CX discipline across our entire organization. This will provide all customers both on the demand and the supply side with a consistent industry leading level of service. Our next initiative strategically building real estate capacity throughout our global footprint remains one of our most important commitments to servicing our clients and meeting growing demand. During the quarter, we expanded our capacity in Central California, a key rapidly growing market for IAA and acquired our location in the Washington D.C. area. In the United Kingdom, we opened a new facility in Bristol to provide additional coverage in the Southwest of that country. These additions reflect our continued focus on strategically investing in properties where we see a long-term benefit and an attractive return on capital. In addition to satisfying our ongoing customer demand, we've committed to prepare for CAT season by expanding our footprint and resources in those areas at the greatest risk for extreme weather, and we've completed thorough reviews with all of our clients for 2022. In Southern Louisiana, we recently expanded two locations permanently converting these facilities to support IAA's long-term flexible land and capacity strategy in this hurricane prone region. While we cannot predict the timing or severity of catastrophic events servicing and supporting our customers in their time of need is a high priority. We will continue to expand our presence and capabilities across CAT prone regions in preparation for any significant weather event. Lastly, turning to our international business. Q2 marked the first full quarter since we obtained full clearance from the UK Competition and Markets Authority for our acquisition of SYNETIQ. The integration process is progressing as planned, including cross pollination of historic SYNETIQ buyers onto IAA's platform, greater utilization of real estate and savings in towing and technology costs. As we've said from the beginning, the goal of this transaction was to create a long-term sustainable growth platform in the U.K. IAA’s state of the art auction platform and SYNETIQ’s capability in used parts and dismantling expands the product offering and provides the broadest options to maximize proceeds for customers. While synergies between our legacy U.K. business and SYNETIQ are creating efficiencies, our forecast for SYNETIQ is trailing our prior expectations. Subsequent to our acquisition, SYNETIQ secured an exclusive agreement from one of the Top 5 U.K. insurance providers. The cost of onboarding this additional volume, which comes ahead of revenues, SYNETIQ's 2022 EBITDA. The transition of the new volume is also taking longer than expected, but our view of the long-term benefits remain unchanged. In addition, certain market dynamics in the U.K., which Susan will discuss have also impacted SYNETIQ. We do remain confident in the long-term growth opportunity in this business. In addition, we believe SYNETIQ's market leading focus on sustainability, and the circular economy for vehicles is a true differentiator and a model for the future, given that insurance companies in the UK market are further embracing sustainability. Demonstrating its importance to the business in May, SYNETIQ achieved its new ISO accreditation, which requires an ongoing sustained improvement in energy efficiency and reduction in greenhouse gas emissions. This is a good example of IAA's overall progress on our ESG goals, which culminated in the publication of our first comprehensive sustainability report this last April. The report highlights the critical role we play in the circular economy and our sustainability initiatives push us to be more efficient and develop innovative solutions for our customers. Furthering this goal, we are leveraging carbon literacy education and training from the U. K. and starting to roll it out globally. Through our ESG efforts, we also remain focused on building a stronger, more diverse and engaging workplace for all our employees. Lastly, while our market leading Canadian business has recovered more slowly from COVID than in the U.S., we continue to see positive momentum during the second quarter. Although it will take some time for assignments in Canada to come back to 2019 levels, we are excited with the progress that we've seen year to date. So, before I hand it over to Susan, I want to thank all our employees for their continued dedication to further strengthening our operational execution, and providing industry leading customer service. We've overcome many of the headwinds emanating from today's unique macro environment. and our people are a big reason why I'm confident in our ability to adapt to any market conditions going forward. In close collaboration with our Board, we remain focused on running a world-class operation that delivers the most innovative and effective offering in our industry for all of our stakeholders. We have built a differentiated digital marketplace with unique capabilities and will continue to create additional products and services that deliver value to our buyers and sellers. And with that, I'll turn the call over to Susan to review our second quarter financial performance and our 2022 guidance. Susan?
Susan Healy: Thank you, John. I will focus my discussion today on our adjusted non-GAAP results and touch on some key highlights. Please see today's press release for more details on our financial performance and our methodology when calculating non-GAAP results. Overall, during the first half of 2022, we continue to benefit from industry tailwinds related to elevated used car prices, which along with our strategic initiatives drove organic revenue growth of 14.4% for the period. Organic adjusted EBITDA declined 3.6% for the first half of this year, including an expected decline in Q2, driven by the margin headwinds we previously outlined, partially offset by continued strength in ARPU. For Q2 specifically, consolidated revenues increased 16.9% year-over-year to $520.3 million, including $38.2 million from the acquisition of SYNETIQ. Organic consolidated revenue, which excludes the impact of foreign currency and revenue from the Auto Exchange and SYNETIQ acquisitions increased 8.9% to $484.9 million coming from an increase in ARPU of 12.6% and a volume decrease of 3.2%. Service revenue increased by 839%, while vehicle and parts sales increased by 65.7%. The growth in ARPU was driven by an increased mix of purchased vehicles, the impact of internal initiatives, which includes our ability to pass on higher costs through an increase in service fees, and a continuing strong backdrop for used car prices. As a reminder, despite sequential month-over-month softening this year, the Mannheim Index is up approximately 10% at the end of June versus the prior year. With respect to volume, we had expected it to decline sequentially in Q2, due to volume loss from one customer and as John reviewed, the period was also negatively impacted by certain macro headwinds, including a decline in the insurance industry total loss ratio, lower non-CAT weather-related volume, and softness in the dealer commercial and consumer-related markets. Regarding the total loss ratio, which declined to 16.8% from 18.2% last quarter and 19.7% in the prior year. We believe this has been impacted by higher used car price, which affect the insurer's equation whether to declare a vehicle a total loss. On the flip side, we see the benefits of strong used car prices in our ARPU. Despite the volume challenges, our U.S. volume grew 5% year-over-year, excluding the impact of the loss of the one customer we've mentioned. Gross profit was $182 million, compared to $195.9 million in Q2 last year and gross margin was 35%, compared to 36.1% last quarter and 44% in Q2 2021. Year-over-year 200 basis point of the decline came from an increase in the mix of purchased vehicles and parts sales, which increased to 20% of total revenue in the quarter, compared to 14% in the prior year period. As a reminder, purchased vehicle revenues and expenses are accounted for on a gross basis as opposed to consignment, which is accounted for on a net basis. The remaining impact came from the factors we have mentioned on our last few calls, namely higher costs in towing labor and occupancy and by market dynamics in the UK that adversely impacted purchase vehicle spread. In the UK, purchased vehicle contracts are set based on the vehicle's pre-accident value, which does not always move in tandem month-to-month with used vehicle selling prices. While over the long-term, we expect PAVs to normalize with used car values, we are expecting this to impact our combined UK business profitability for the rest of the year. Partly offsetting these margin headwinds were the efficiency improvements John described and continued improvement in ARPU. SG&A expenses increased by 8.7% to $47.5 million. Adjusted SG&A expenses were $45.4 million, an increase of 4.8%, compared to the prior year, due mainly to the incremental SG&A of SYNETIQ, higher headcount and higher spending on information technology, partially offset by lower incentive compensation expense. SG&A for SYNETIQ for the quarter was approximately $1.9 million. Adjusted EBITDA was $136.2 million for the second quarter of 2022, compared to $152.6 million in the prior year. Excluding the impact of foreign currency and acquisitions, organic adjusted EBITDA decreased by 12.9% driven by the factors we discussed earlier, namely the volume and margin headwinds offset by higher ARPU. Interest expense declined to $11.5 million, compared to $21.9 million in the second quarter last year. The decline was primarily driven by a $10.3 million loss on early extinguishment of debt that was recognized in the second quarter of 2021. The effective tax rate was 10.9% versus 24.7% in the second quarter last year. The tax rate benefited from favorable adjustments of $13.3 million, resulting from a change in the estimate for foreign derived intangible income. These adjustments were recorded as an $8.6 million discrete item related to prior periods and a $4.7 million benefit related to income in the first half of 2022. Net income was relatively flat at $82.7 million, compared to $82.9 million in the prior year. Adjusted net income decreased by 11.4% to $82.7 million or 62% per diluted share. Turning now to our cash flow and balance sheet. Capital expenditures were $44.2 million for the quarter, compared to $27.5 million in the prior year. The year-over-year increase in capital expenditures was primarily driven by the acquisition of our Washington D.C. location. During the second quarter, we spent $18.8 million to repurchase approximately 521,000 shares at a weighted average price of $36.19. We continue to balance existing and potential opportunities to invest capital in the business with the ability to selectively employ repurchases as a method of returning capital to shareholders. Our balance sheet remains very strong and we ended the quarter with total liquidity of approximately $657.1 million. We ended the period with a leverage ratio of 1.9x, compared to 1.8x at the end of the second quarter of 2021. Net cash provided by operating activities during the first half of 2022 was $230.3 million, down 8.1% from the prior year, primarily due to the timing of lease and incentive compensation payments, partially offset by increased collections of accounts receivable. Free cash flow was $193.9 million, relatively in-line with the prior year period of $193.3 million. Turning now to our outlook for 2022. As a reminder, with the exception of the organic growth percentages, all figures in this outlook include the impact of currency and acquisitions. For 2022, we have narrowed our expectations for revenue and now expect total revenues of $2.020 billion to $2.075 billion. This range includes a $14 million to $16 million headwind from currency and SYNETIQ revenues of $160 million to $170 million. We expect organic revenue growth of 3.5% to 6%. We have also narrowed our range for adjusted EBITDA. We now expect total adjusted EBITDA of $540 million to $560 million, including $15 million to $18 million for SYNETIQ and a negative impact from currency of $2 million to $3 million. Our adjusted EBITDA range takes into account our results to date and the impact of continuing inflationary pressures, as well as the market dynamics we are experiencing in the UK. The outlook for SYNETIQ reflects the cost of onboarding the additional volume from the new client, market dynamics in the UK, and the impact of currency. We expect organic adjusted EBITDA to be flat to down 5%, compared to the prior year. As a reminder, fiscal 2021 was a 53-week year whereas fiscal 2022 is a 52-week year. We expect adjusted SG&A expense of $195 million to $205 million, including approximately $8 million to $9 million of adjusted SG&A associated with SYNETIQ. We expect interest expense of $50 million to $52 million, reflective of the recent increase in borrowing rates and effective tax rate of 22% to 23%, excluding the beneficial impact from discrete items. Finally, depreciation and amortization are expected to be a $105 million to $110 million. As it relates to the expected quarterly cadence of our revenue and adjusted EBITDA this year, I'd like to reiterate some of the comments I made last quarter. We continue to view Q1 as our highest quarter for both revenue and adjusted on for the year. Given our previously discussed volume and ARPU expectations, we still expect revenue and EBITDA to decline sequentially in Q3 before increasing in Q4, although not up to the level of Q1. So, we still expect overall revenue and adjusted of EBITDA to be lower in the back half of the year and this is incorporated in our full-year guidance range. We still expect that adjusted EBITDA margin deleverage year-over-year was the most significant in the second quarter with an improving trend expected in the back half of the year. With that, we'll open up the call to questions. Operator?
Operator: Absolutely. [Operator Instructions] The first question comes from the line of Daniel Imbro with Stephens. You may proceed.
Daniel Imbro: Yes. Hey, good morning guys. Thanks for taking our questions.
John Kett: Good morning, Daniel.
Daniel Imbro: I want to start on a little higher level. I think in your prepared remarks, you talked more about some of your initiatives, whether it's data analytics, lender coverage, transport, I guess I'd love to hear why the increased detail? And I'd also love to hear, what is early customer feedback? How long would you expect for these, kind of initiatives to manifest into share wins? Just any kind of thoughts around customer feedback and potential share impacts from all the initiatives you discussed?
John Kett: Yes. Thanks, Daniel. Yes, I mean, I probably talked more than usual because I'm excited about what we're doing in these areas and I think it's resonating well with our clients, both are – as I said, both are existing and as we look to expand our market position. Whether it's the data analytics where we really are, I gave that example, but we really are unlocking ways and helping sellers find better ways to market their vehicles. And really, we've got tools now that we're using in a way that we've never used before. And we're also again with the data that we have on our buyers really understand, kind of the cohorts of different types of buyers that we have and how they behave so that we can target to them and make sure we're getting the right value. I mean, those are just, kind of both sides of the demand and the supply. And then certainly, loan payoff as we continue to add lenders and now we've got this solution where we basically could handle 100% of liens, it really is resonating well and I think carriers are recognizing now that we've got the critical mass that we need to really help them solve that persistent issue they have in trying to obtain the right paperwork so that we can sell a vehicle. So, yes, I'm excited about all those. The timing of when stuff comes, I wish I had that crystal ball, but I do think we are moving in the right direction and the feedback that I'm getting and seeing gives me confidence.
Daniel Imbro: That's helpful color, John. And then Susan, as a follow-up, can you dig a little more to the total loss rate dynamic? First off, did you say it was [16.8%] [ph] in the quarter? Did we hear you right? And then if so, curious why you think it's dipped down sequentially? I guess used vehicle prices were relatively stable sequentially. I think the year-over-year increases were smaller. Just curious what would drive that down further? Is it lower accident severity? Is it a lack of replacement vehicle. It's just making insurance companies repair more accidents, is it something else? Could you just talk about why the step down if that was the right number?
Susan Healy: Yes. You're correct. And we're quoting industry data on our total loss ratio just to make that clear. But John, why don’t you give some more color?
John Kett: Yes, Daniel. So, I mean one of the other phenomenon that we saw was, while wholesale pricing, kind of flattened retail pricing really hasn't fallen off a lot at least it hasn't through the second quarter. And the ACV, which is what the carriers use, the actual cash value, that's really based on retail pricing. So, as retail pricing has sort of held that ratio of repair cost to retail price has continued to reduce that percentage. So, it is an important distinction to think about retail prices relative to wholesale prices when we're talking about this.
Susan Healy: And I think related to that, it's kind of a lag effect, right?
John Kett: Definitely.
Susan Healy: Because I'm [sure trying] [ph] to decide based again on the retail prices whether something's a total loss and then that's what's going to create the additional volume for us. We're not surprised to see a lag effect there on the prices, sort of moderating, and when the volume kicks. You kind of see it on the front side of it, right? So, we saw increasing used car prices and total loss ratio remain high. So, it seems like a disconnect, but if you look at it on a lag basis, it probably makes a lot more sense.
Daniel Imbro: Got it. So, your expectation would be, what you see in this summer with a slight moderation would be all else equal to the back half of the year that's a tailwind to the volume growth relative to the second quarter?
Susan Healy: Well, like John said, we can't predict exact timing on that, but we would expect over the long-term that the total loss ratio is going to go back towards that [20%, 20% plus] [ph] that we saw. And as John mentioned, all of the factors that are there that increased the total loss ratio like vehicle complexity are not abating.
John Kett: That's right.
Daniel Imbro: Okay. Thanks so much for the color guys. Best of luck.
John Kett: Thanks, Daniel.
Operator: Thank you. The next question comes from the line of Bob Labick with CJS Securities. You may proceed.
Bob Labick: Good morning. Thanks for taking our questions. I'm going to talk about the [cost processor car] [ph] and you obviously discussed labor and towing as the headwinds there and they've been persistent. I guess, maybe if we could dig in a little more on those, how much of the increased costs are permanent, but when might they start to go back down? Is it in labor, is it just higher wages or is there, maybe higher turnover in your branches that could dissipate as the labor market improves? And in towing, is it like just fuel and labor or have the towing distances changed for whatever reason? I'm just trying to get a sense of when, kind of cost to [process a car] [ph] may come down as well?
John Kett : Yes, great. So, let me start with labor. It has been primarily around rates, so having to pay more just given what's happening in the overall labor market. Turnover has abated. We certainly saw in the – what was called the great resignation last year. In particular, we did see higher levels turnover than we had experienced ever, but if we – we have certainly seen that begin to calm down. So, we do, but that’s the near term, again as what I talked about is, we are consistently looking at ways to take labor costs out to find ways to automate and simplify processes. So, we need fewer people to do some of those tasks and the people we have can focus on the higher value one. So, that's our approach. That's the phenomenon over the last year and then what we're doing about it going forward. In terms of towing, it was a similar situation is that a year ago or 18 months ago, the tow companies that we use couldn't find drivers. They had trucks and no drivers because they had either just they weren't interested in driving the tow truck. That is again beginning to stabilize as I talked about. In the core rates, really distances haven't changed to your you a specific question. Again, given our footprint and our vast network of facilities, we’ve to a certain extent control for how far we have to go to get cars. Fuel is a phenomenon right now. Obviously, with diesel prices while they're coming down, they're still very, very high. So, we are incurring fuel surcharges that we would expect to abate as fuel prices come back to some normalized level. So, there's a portion of it that we certainly see in the near term from a fuel price perspective, and then again, our towing rates have stabilized. The tow companies we use have been able to start to fill their trucks. And again, we're deploying technology and some of our analytics to help mitigate those costs to find ways to more effectively route to not have to go through a release center to get a vehicle released to dispatch truck right away because our data tells us that it's likely going to be easy to pick up those kinds of things. So, those are short-term phenomenon, but we're certainly just on finding ways to reduce those per unit costs going forward.
Bob Labick: Okay, great. Thank you. That's certainly helpful color. And I guess just one other quick one on related to that, but in terms of the dollar strength, obviously, you call that in FX and what's going on there. How has it impacted if at all the international bidders are buying on the U.S. salvage cars at auction, has that impacted the – and obviously ARPU is still very high. So, it hasn't been too negative there, but what are you seeing in terms of international bidding activity in building your international buyer base and has the dollar impacted that right now?
John Kett: Yes, I mean, I guess I would have at a high level expected some of what you described, but really we haven't seen it. Again, we continue to grow our buyer base. We're finding new markets and new ways to bring those buyers to our marketplace. And again, the robustness of our marketplace, even if they're operating in a currency that's not as strong, they're going to have to bid in dollars to buy the vehicles. So, they're going to need to compete with the domestic base buyers to get that vehicle. So, we really have not seen a negative impact on the bidding side from the strength of the dollar.
Bob Labick: Got it. Okay, super. Thank you very much.
John Kett: Thanks a lot.
Operator: Thank you. The next question comes from the line of Bret Jordan with Jefferies. You may proceed.
Bret Jordan: Hey, good morning, guys.
John Kett: Good morning, Bret.
Bret Jordan: On the comment, continue to grow the buyer base, the international bidder for North American cars, is there any way to quantify that? I mean, you've done some push into North Africa and developing, sort of marketing offices over there, but is there a way that we can sort of look at that maybe how much volume is going over there with the change is?
John Kett: Yes. We've always been hesitant to try and put a percentage on just because of the nature of the U.S.-based export buyers that we have that are shipping vehicles out of the country. So, it's – but we are measuring and the growth we're talking about is our foreign based buyer. So, it continues to be strong in West Africa, the Middle East, Central, and South America, Eastern Europe. You've seen where we have opened some of these – or established these markets partners. It continues to be strong. And I think as I've said before, there's still a lot of room to grow it, but there is –there's a lot of places in the world that we still think we can target or more deeply target to continue to grow that portion of our buyer base.
Bret Jordan: Okay. And then you commented earlier that market share is stable, I think. And then increasing the bottom-end of the revenue growth rate guide, does that imply that the large insurer who was shifting volume has stabilized or is the market share gains with others offsetting that loss?
John Kett: I would say, it's sum of both, Bret. So, I think we are stabilized with that carrier and we continue to do well, kind of up and down the Tier 1, Tier 2, and Tier 3 carriers.
Bret Jordan: Okay. And then I guess one final question. On the SYNETIQ acquisition tailing expectations, I know you've also mentioned that the UK purchased vehicle spreads were going against you, is SYNETIQ impacted by that purchase vehicle spread or is it just the costs of bringing in the new customer in the UK that's impacting SYNETIQ?
Susan Healy: It's a bit of both, Bret.
Bret Jordan: Okay. All right. Thank you.
John Kett: Thanks, Bret.
Operator: Thank you. The next question comes from the line of Gary Prestopino with Barrington Research. You may proceed.
Gary Prestopino: Yes, good morning. Hey, Susan, John, could you maybe just explain some of those market dynamics in the U.K. again just so I'm clear on that, what's going on?
John Kett : Sure, Gary. So, it's primarily a purchase vehicle market. So, we're buying vehicles based on the ACV or PAV as they call it in the U.K., but you got to think about if a vehicle is damaged today and the insurance company establishes the value and they pay it, then we don't sell that vehicle for 60 or 90 days. It's a different market from when it was purchased. So, as used car prices are moderating there, we're sort of – we're buying and as the prices are falling, so we're having to sell at a spread that we've established isn't as wide as we would have expected. So, we believe it balances out over time, but we're currently in a situation where is sort of in transition as values are starting to come down.
Gary Prestopino: Okay. That's good. And then why is it taking longer or there's more expense incurred from boarding this new client in the UK?
John Kett: Yes. So one, the volume started coming later than we expected, but then in addition, again for some of these vehicles, because we're buying them, we're then putting them into inventory, but we're still having to incur labor and other costs that we don't capitalize at this point. And then we're not selling the dismantled parts or whatever we're going to sell, that doesn't come until later. So, we've incurred the front-end of the cost, but we haven't been able to realize the revenue yet.
Gary Prestopino: Okay. So, as over time, this should balance out [balance work] [ph]?
John Kett: Exactly. Yes, that's why. Again, as I said, it doesn't – my view is unchanged of our potential with this business and with that particular account. I think it's really good for us going forward.
Gary Prestopino: Okay. Thank you.
John Kett: Thanks, Gary.
Operator: Thank you. [Operator Instructions] The next question comes from the line of Chris Bottiglieri for BNP Paribas. You may proceed.
Chris Bottiglieri: Hi, thanks for taking question.
John Kett: Hi, Chris.
Chris Bottiglieri: The first one I want to ask about volumes, so, if I heard you right, it sounds like volumes are up 5% in the U.S. ex-kind of top customer loss, but your total loss rates are down materially. I think miles [were down] [ph] slightly year-on-year at this point. So, I guess what would you attribute the 5% volume growth, like what's driving that? Like what are the factors that are pushing volume to this positive [ex-top customer] [ph]?
John Kett: Yes. Well, I think as I've talked about over the last couple of quarters, we have been gaining share, but when we take that one customer out, we have been gaining share. And I think that's certainly been helpful. We're also continuing to – even though it's a constrained market, our dealer commercial consumer facing is another area where we continue do well to add to volume. I mean Susan, anything else, any other factors that you think about in the second quarter that would have driven growth?
Susan Healy: Those are really the two factors that are driving in when you strip away that one customer.
Chris Bottiglieri: Got you. Okay. That's helpful. And then the next question or last question would be just on SG&A, like pretty big decline in Q2, I haven't processed my model yet to see what the guide implies your back half, but just wanted to get your sense what's happening there? Are you actively cutting costs at this point? Any cost that kind of slipped in the back half? Like just some context there that I think probably the biggest decline estimate we've seen in a while, [that] [ph] would be helpful? Thank you.
Susan Healy: Yes, a couple of things there. So, yes, we are actively managing our costs and being super selective and super rigorous about what we're going to invest in. There's also a couple of factors going on here. One is incentive compensation expense. So, last year, we outperformed our budget, we book compensation of that expense. We accrue it based on where we expect to end the year. This year, that's not the case. Obviously, we reset our bar and we make it at a point where we're going to have to work really hard to achieve it. So, that's one thing. And then I think it depends on whether you're looking at adjusted EBITDA – sorry, adjusted SG&A, you look at adjusted SG&A and that increased year-over-year pretty much roughly in line with the SYNETIQ addition. So, we had some one-time cost last year that aren't in the number this year, that aren't in adjusted SG&A.
Chris Bottiglieri: Got you. Okay. I was looking quarter-on-quarter adjusted SG&A. All right. Thank you. 
John Kett: Thanks, Chris.
Operator: Thank you. There are no questions waiting at this time. I would like to pass conference back over to John for closing remarks.
John Kett: Thank you. Just to reiterate the resilient nature of our business, and the industry overall, I really am confident in our ability to deliver positive results regardless of market conditions. As we further enhance our digital offering, and expand our global buyer base, we'll continue to execute on our strategic initiatives, including this focus on operational excellence and sustainability. We remain well-positioned to generate value for our shareholders in the quarters and years to come. Thank you for joining us and we look forward to updating you again during our third quarter call in November.
Operator: That concludes the IAA second quarter 2022 earnings conference call. Thank you for your participation. You may now disconnect your line.